Operator: Good morning. My name is April [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to the Graphic Packaging Holding Company’s third quarter 2010 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer period. (Operator Instructions) Thank you. I would now like to turn the call over to Mr. Brad Ankerholz, Vice President and Treasurer. Please go ahead, Sir.
Brad Ankerholz: Thank you, April and thanks to everyone on the line for joining our call this morning. Commenting on results this morning, are David Scheible, the company’s President and CEO; and Dan Blount, our Senior Vice President and Chief Financial Officer. I would like to remind everyone that statements of our expectations in this call constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Such statements including, but not limited to statements relating to fiber and other raw material prices, consumer demand and pricing trends capital expenditures, cash pension contributions and pension expense depreciation and amortization, interest expense, debt reduction, cost reduction initiatives and achievement of previously announced operating and financial targets are base on currently available information and are subject to various risks and uncertainties that could cause actual results to differ materially from the company’s present expectations. These risks and uncertainties include, but are not limited to the company’s substantial amount of debt, inflation of and volatility in raw materials and energy costs, volatility in the credit and securities markets, cutbacks in consumer spending that could affect demand for the company’s products, continuing pressure for lower cost products, and the company’s ability to implement its business strategies, including productivity initiatives and cost reduction plans. Undue reliance should not be placed on such forward-looking statements as such statements speak only as of the date on which they are made and the company undertakes no obligation to update such statements. Additional information regarding these and other risks is contained in the company’s periodic filings with the SEC. David, I’ll now turn it back over to you now.
David Scheible: Thanks, Brad. We’re pleased with our third quarter results as we deliver another solid quarter of operating margins and cash generation. Our strategy to focus on our core business, growing through innovation and building the right execution culture continue to serve us well in a difficult economic environment. Volume got off to a sluggish start in July, but we saw a healthy bounce back in August and September in a number of very positive leading indicators that suggest volume trends should continue to improve. Throughout the entire quarter we optimized production and managed our cost structure effectively, generating over $36 million in continuous improvement savings. This resulted in the strong EBIT, adjusted EBITDA margin of 14.5% and over $73 million of operating cash flows. We also strengthened our capital structure and lowered our cost of capital by refinancing a significant portion of our 9.5% 2013 subordinated notes through the issuance of new 7.875 senior notes due 2018. As we expected prices were positive in the quarter and we cycled through almost year-over-year comparisons on input cost. We should continue to benefit from higher prices and our input cost comparison should ease over the next several quarters. We are therefore comfortable with our progress towards our 2010 operating financial goals in our reiterating our net debt reduction target of $200 million by year-end. Our mills had another very strong quarter with operating rates in the mid to upper 90% range and no market related downtime. We produced 33,000 more tons of board in Q3 2010 than last year after adjusting for the timing of scheduled maintenance related downtime. In our tons per day, production increased nearly 7% over last year. We produced and sold more of our higher margin CUK subsidiary [ph] than last year, which had a positive impact on our mix. We are seeing strong demand in CUK as a result of substitution trends from SPS and strength in the frozen food segment and the Asia Pacific Beverage market as well. We continue to see relatively stable trends in overall paperboard packaging demand backlog in both CUK and CRB is up from last year at around four to five weeks each. The strong mill performance is being driven by our continuous improvement initiatives. We've increased grade-to-grade cycle plans by almost three days and term utilization by more than a four-percentage point. Aggressive management inventories and successful subsidiary conversion enabled us to sell the additional production, keeping inventories at low levels and generating more cash. In addition, our level of paperboard integration is steadily rising and the same is around 80%. By converting more of our internally produced board and substituting outside purchase boards were internally produced CUK and CRB, we were able to achieve better margins and lower inventory levels across the entire fledging. Earlier this year, we completed our activity integration effort to make significant investments in our converting plans as part of that work. We are now focused on ongoing operating and process improvement across the entire enterprise, but particularly in our mills. Better operating systems in the mills have lead to improved visibility over input flows and operating costs. Higher term utilization continues to reduce the number of odd lots and special size paper rolls we produce, thereby leading to a permanent reduction of inventory and working capital levels. We see additional significant opportunities to improve efficiencies and reduce cost in the mills to water and energy conservation and upgrading our fiber systems. We are making focused capital investments to do just that. Our core folding carton and end markets were a tale of two stories in the quarter, July was soft really across the entire space with sector wide volumes reportedly down about 5% from PPC. Trends in August and September improved significantly, however, and our volume is up year-over-year during the last two months of the quarter. In the later part of the quarter we also saw a positive trends in new sample request fire work and related structural design projects, which are typically very good indictors for future new product introductions. The results show an increase in promotional packaging work in brand new machine orders, indicating that consumer product companies have start to spend on promotions and advertising to help stimulate demand the market place and expect growth in 2011. So we’re cautiously optimistic about volume trends, but also recognized that higher employee rate and changes in consumption trends the way consumer shop continue to impact our markets. Ready to eat cereal was once again one of our strongest categories, which [Inaudible] the mid single percent range over the prior year. Frozen Foods, which include pizza and pizza related snacks were also strong in the quarter increasingly in the low to mid single percent range as well. We also saw a significant strength in the facial market as a result of share gains and inventory build ahead of the colder brew season. By comparison our most challenging markets where refrigerated products due to higher commodity food costs coupled with consumers trading down from packaged refrigerator goods to lower cost options that can be prepared at home. Beer volumes across the industry remain down slightly in the third quarter. This is the modest improvement from earlier year trend, but beer consumption continues to be impacted by high unemployment rates. This is particularly acute in the manufacturing and the 21 to 34 year old age groups A recent report published by the labor department suggest middle class households cut spending on alcoholic beverage by 20% from 2007 to 2009. The soft environment is driven industry consolidation and led major brews expand, into other growing niches of beer market such as Home Draught, Craft Brews and emerging international markets. Industry-wide shipments of carbonated soft drinks were down about 3.5% in the quarter. But take home volume a key sector for us declined much less. Additionally, volume trends improved in September as a result of increased promotional activity around the Labor Day Holiday. Food and beverage inventory levels in the channel remained extremely lean and the entire industry is going to operate with much inventory, as a result the velocity, which companies are returning their inventories much higher in the entire supply chain shortly. For Graphic Packaging, the implementation of our SAP integrated system and better integration of our mills and converting facilities help drive improve domestic inventory turns to over eight times. Our Multi-Wall Bag and Specialty Packaging segments are more exposed to general manufacturing and housing environments. Prices were up as we look to recover rising paper cost, but the volume improvement we experienced in the first half stalled. Strength in the pet food, chemicals and material sectors was offset by weakness in concrete ready to mix and roofing sheet markets. We see further headwinds in this market as home construction continues to lag in this recovery and as a result, we have taken measures to consolidate volume into our most productive facilities and reduce our overall cost structures. New product innovation in the third quarter was positive as we started developing commercialized value-added packaging for consumer flexible and global beverage customers. Third quarter new product sales increased 27% year-over-year to over $70 million and puts us on track to achieve $250 million in new product sales for the year. Innovation remains a key growth area for Graphic and our customers to depend on us to provide differentiated packaging to support their marketplace growth and cost reduction goals. In our consumer business, Micro-Rite platform generated strong growth by providing our customers with superior consumer convenience. This quarter Ruiz Foods launched a range of family meals including chicken and Taquitos using our patented even heating technology. We also support the launch of the Wal-Mart great value microwavable heat tray utilizing a susceptor packaged carton. Our Strength Packaging platform is focused on substituting solid fiber solutions for other forms of packaging driven by customers looking to reduce supply chain costs. This was another successful quarter, Kraft is expanding their use of our patented deep freeze technology with a brand new launch of Oreo and Chips Ahoy! family pack cartons. These packages are retail ready, which eliminates the use of cord in the supply chain based on the strength of the primary folding cartons. Nestle is our newest customer with the adoption, this technology for their Hot Cocoa warehouse food cartons. Our barrier platform is focused on delivering sustainability and consumer convenience. During the quarter, we achieved several successful commercial launches including our fresh first food service offering. Fresh foods packaging has been designed to meet performance and merchandising requirements of fresh foods in retail stores and restaurants. Commercial launches include the pizza clamshell and pizza carton. The pizza clamshell is designed in the shape of pizza wedge and provides a convenient food trays for on the go consumer. The package is designed with reach barrier properties and specially positioned vent holes to release steam. The freshness packaging way continues to see commercial success as the paperboard solution resonates with consumer as a more environmentally friendly package than the plastic alternatives it replaces. Our beverage business are at consistent level of activity of new products and new machine orders both in the in United States and globally. Our easy tag product continues to grow in U.S. as a more sustainable replacement to corrugated trays in our soft drink accounts. A number of customers are evaluating the cap-it package as a pet multi-pack solution including Coca-Cola, which ran a very successful market test within the convenient store chain. I’m pleased with the international activity in South America, Caribbean and Asia for new machine orders in place as we have experienced a significant rebound of these investments and ensure relative long-term growth of Paperboard Packaging in these emerging markets. Inflation, as expected input cost increased substantially to $52 million on a year-over-year basis with spot prices of OCC and wood as well and other input cost like latex and resins and chemical bottoming out last year and then easing this year is made for a very challenging comparison year-over-year. However, on a sequential basis quarter-on-quarter, input costs were relatively flat with the second quarter of 2010. And we expect that same trend in Q4 of this year as well. Dan will discuss in more detail the individual components of our third quarter input cost in place. As expected, product pricing turned positive in the quarter as a result of higher contract pricing related on higher inflationary cost over the past several quarters. The majority of our business is contractual and the contracts include some form of backward looking price adjustment mechanisms for changing raw material costs. As a result, our pricing typically lag any change in raw material cost by anywhere from six to 12 months. This means positive pricing trend should continue over the next few quarters. In the third quarter, the price of our CRB increased around $40 a ton from the prior year quarter, while the price of CUK was up around $30 a ton on a year-over-year basis. Again rise in cost of inputs we continue to raise paperboard prices. In CRB, we implemented $40 per ton increase in RD and recently announced another $40 per ton to take effect in early December. In CUK we implemented a $50 per ton increase in late August and we recently announced another $40 per ton increase for late December. We did the exact same thing in Europe as well. Our outlook for 2010 remains unchanged and we’re on track to achieve our net debt production charges to remain. We should continue to benefit from higher pricing over the next quarters as our contracts adjust for higher previous inflation levels. Moderation in fiber costs were relatively flat, sequential cost in other raw material should also begin to lessen the inflationary impact in the near-term quarters. So the difference between pricing input costs that should begin to narrow in the fourth quarter helping margins. Our current view is the demand should remain relatively stable in our core paperboard packaging segments and we can somewhat more cyclical multi-wall bag and specialty business. Tight inventories across both segments should keep supply and demand in balance and modest improvements in the economy will eventually lead to gradual improvements in volume. I’ll turn over to Dan to a little more detailed view of the financials.
Dan Blount: Thank you, David and good morning everyone. David provided the highlights over the third quarter financial performance then included the continued delivery of solid operating margins and cash generation. I’ll provide more specifics on our operational and segment performance. As a reminder, when I refer to EBITDA and EBITDA margin in my discussion, I am referring to results adjusted to produce comparable financial reporting. The adjustments are detailed in the earnings release. For this quarter, the only adjustment related to the charge was early extinguishment or modification of debt. Starting with revenues, net sales improved over the previous quarter and we are about 1% lower than the prior year. A slight year-over-year decline was driven by lower demand in July, where volumes dropped 6%. Demand rebounded above prior year levels in August and September and we ended the quarter with a sales volume drop of only 1.3%. Additionally, we have gotten off to a positive start in the fourth quarter as October volume ran above the prior year. The most positive news in the quarter was that we completed our cycling through of our downward price adjustments related to 2009 deflation. Q3 prices increased 1.3% over the prior year and we expect this favorable pricing trend to continue into Q4 and into next year. To conclude the review of third quarter sales, here is a breakdown of the $11 million, 1% year-over-year decline. $14 million improvement in price from contractual inflation recovery and realized open market board increases, $13 million impact from the volume decline resulting from the July demand drop-off, $12 million of negative sales mix due to demand shift to lower price products. Now turning to EBITDA, solid margins continue to be delivered. Q3 EBITDA margins improved to 14.5% from 14% in the second quarter as a result of improved pricing and continued cost reduction. Most of this improvement was in our Paperboard Packaging segment, where margins improved to 17.1%. Total Q3 EBITDA at a $151.3 million or $6.2 million better than second quarter and $3.8 million lower than the prior year. In our quarterly comparison to the prior year, we saw price improved by $14 million and $36 million of net cost reductions. Offsetting these improvements was a large quarterly year-over-year increase in inflation of $52 million. The year-over-year increase is large because we benefited by $40 million of commodity input deflation in third quarter of 2009. Since that time, input costs have returned to more historical levels. As we shifted from a deflationary environment in Q3, 2009 to a more normalized inflationary environment thereafter. I do not think the year-over-year inflation comparison is all that relevant comparing quarter-on-quarter. What is relevant however is that on a sequential basis, there was no net inflation from the second quarter and we do not expect input cost to rise above the current levels in the fourth quarter. In fact, due to the rapid recovery of commodity input pricing in Q4, 2009, we expect fourth quarter 2010 year-over-year inflation to be significantly less from the amount seen this quarter. Turning back to performance improvements you saw that we delivered another strong quarter of cost reduction at $36 million bringing that year-to-date total to over a $109 million. Our mills delivered particularly strong results via higher yield, energy conservation and overhead reduction. Mill production hit record levels as yields improved by nearly 1.5% and energy usage per ton declined by over 5%. In our converting operations, we reduced waste by approximately 3%, improved labor efficiency by almost 10% and continued to optimize our warehouse footprint. We continue to have a healthy lift of continuous improvement projects in the pipeline that will allow us to achieve cost reduction benefits well into the future. And to summarize our current view of Q4, 2010 results, we see inflation over the prior year at about 1.5% the rates seen in this quarter, we see pricing continuing to improve at the rate experienced this quarter and we see continued cost reduction at the quarterly rates we have delivered all year. Now let’s turn to CapEx, debt, and liquidity. Starting with CapEx, expenditures were $34 million in the quarter. We expect next quarter to be above $54 million, so our full year 2010 estimate for CapEx is in the $130 million range. With regard to debt levels, we continue to strengthen our capital structure and our net leverage ratio improved to 4.5 times. As David described, we had strong cash generation in the quarter and focused a portion of our cash toward paying down the higher cost bonds. As a result of ongoing debt reduction, interest expense was lower by $9.3 million in the quarter and $24 million year-to-date, as compared to 2009. This trend should continue as we expect debt levels will continue to decline and we have proactively refinanced higher cost debt. The most recent financing be in the $250 million, 7% and 7.8% bond due in 2018. On a year-to-date basis, either through refinancing or through cash prepayments, we have addressed $352 million of the original $425 million of 2013 bonds. We plan to use cash generated from operations to fully retire the remaining $73 million. Looking forward to the end of 2011, we expect our net leverage ratio to be in the range of 3.7 times. This continued focus on debt reduction along with a corresponding improvement in our credit ratings will put us in a strong position to address our senior secured bank debt, which matures in 2013 and 2014. Leverage at the end of the second quarter remained strong at about $534 million. We had no borrowings under our $400 million revolver and a $166 million of cash. We are also well within compliance of our senior secured leverage ratio covenant under our credit agreement at 2.95 times versus the maximum allowable ratio of 4.75 times. And now I will conclude by summarizing 2010 full year guidance. In the fourth quarter, we expect to continue to realize price improvements and expect stable volumes. Additionally, net input costs are expected to be consistent sequentially and at roughly half the year-over-year impacts, we experienced in Q3 of this year. As such, we are reiterating the financial targets we laid out during our last conference call, these include capital expenditures in the $130 million range, cash pension contribution for $45 million to $60 million, of which approximately $36 million has been contributed through September, pension expense of about $32 million. Depreciation and amortization in the $310 million range, interest of expense of $175 million to $180 million and net debt reduction in the $200 million range with a resulting net leverage ratio of around 4.3 times. And with that, I will turn the call over to the operator for questions.
Operator: (Operator Instructions) Your first question comes from Ian Zaffino.
Brian Bittner – Oppenheimer: Hey guys, it’s Brian Bittner in for Ian. Good quarter.
Dan Blount: Thanks.
Brian Bittner – Oppenheimer: You talked a lot about the trends, how they got better throughout the quarter and then seems as though you could have volumes up in the fourth quarter, so with that more favorable raw material comparable higher pricing. I mean, do you think you can have a year-over-year EBITDA number in the fourth quarter, is it possible?
David Scheible: Can you specify what do you mean Brian?
Brian Bittner – Oppenheimer: EBITDA in the fourth quarter 2010 higher than the fourth quarter 2009. It seems us though that the dynamics you laid out that that could take place?
David Scheible: Yes, all the trends point in that direction. If you remember from 2009, we had some volume challenges because of the economy at that time as well. So it all point in that direction.
Brian Bittner – Oppenheimer: And can you tell us how much volumes were up in October?
David Scheible: In October, what I would say is the October trend was pretty consistent to what we saw in August and September, they’re up, 1.5% to 2% ordering range, which throughout the course for us in the food and beverage business that’s not insignificant right. One of the keys is where they’re up and it look where it’s up, it’s in some of the areas that we discussed that we’re down in the prior, in this quarter of Q3.
Brian Bittner – Oppenheimer: So beer is up?
David Scheible: No, not the beer so much, the frozen food…
Don Blount: Although beer has got a better trend today than it did last year for sure there is no question about that. But what I would say is the paperboard sector overall trends are positive, I have – we are missing a lot of room in the Multi-Wall Bag sector, it’s just too dependent on industrial recovery primarily from home construction, shingle wrap, concrete, that just doesn’t look like that’s going to get strong in the fourth quarter.
Brian Bittner – Oppenheimer: Okay. Thanks a lot for that and then the last question would be, as far your utilization rates at your board mills where are those at these days? 
Don Blount: We are basing on board mills as I said we have - I think I’d say four to five weeks across the board. We have certainly four to five weeks in CRB our board our backlog in our SUS mill is every bit of three to four weeks sort to our SUS mills are three to four weeks. So manageable backlogs, but we are busy and we have no additional downtime scheduled for the rest of the year. So volume holds which we are going to make the board with no problem. : Wonderful. Thanks for taking my question. 
Don Blount: Sure.
Operator: Your next question comes from [Philip Payne] from Jefferies.
Philip Payne - Jefferies: Hi, good morning guys.
Don Blount: Good morning.
Philip Payne - Jefferies: Just quick question on the inflation of fund I think you guys mentioned that you expect inflation to be flat sequentially from 3Q to 4Q, but OCC prices about fleet hedged higher just want to get your thoughts on that?
David Scheible: Philip one thing you have to look at is, we are on FIFO accounting. So the OCC that we are selling in the fourth quarter, we actually purchased in the second quarter. 
Philip Payne - Jefferies: Okay.
David Scheible: And in the third quarter, that’s correct and so, since we got about two to three months lag, we have to built that into out projections of financing [Inaudible]
Philip Payne - Jefferies: Okay so you are going to start seeing some of the uptick from an inflation standpoint I guess 1Q next year? 
Don Blount: That would be more likely, although we are honestly as you all know, OCC spiked, but it’s kind of flattened and anything some of the [Inaudible] right now because the demand from China has dropped off precipitously OCC has been pretty flat. And we don’t, our primary OCC exposures in the Midwest, which as you know tends to be a little bit less variable than what we see on the coasts. It’s very, it can be company specific in that process. Our only exposure on the West Coast is really our Santa Clara mill much smaller, of course a much smaller footprint in our Midwestern exposure in Battle Creek or Kalamzoo in Middletown. 
Philip Payne - Jefferies: Okay that’s helpful. And then from price cost standpoint, you guys obviously still cycling through a higher inflation and pricing without infill through, so when should I expect to see a positive price cost spread?
Don Blount: When you started to see a solid – really on a sequential basis we started to see at this quarter right. Margins, if you think about margins, we’ve been able to maintain let’s say roughly 14.5% margin despite the fact that in year-on-year – like last year we had probably the lowest cost quarter in the history relative to those – in the recent history of those infill cost and yet those infill cost will flow through and we still been able to keep our margins up. So through performance and pricing, I would say I feel good, optimistic if you will about maintaining or slightly expanding margins as I go forward.
Philip Payne - Jefferies: Okay. And I just want to get your thought on the most recent price increases. If I read the trade publications correctly, I don’t think many of your competitors have thought, so I just want to get your thoughts on the most recent increase.
Don Blount: Yeah. I can’t respond to what they should that or will have to do, I mean, what I would tell you is based on our input costs and based on the forwards in the demand, it makes sense for Graphic Packaging to raise our paperboard price. What happens is, my control for sure.
Philip Payne - Jefferies: All right. Thanks guys. 
Operator: (Operator Instructions) Your next question comes from Mark Kauffman.
Mark Kauffman - Rafferty Capital Markets: Good morning guys.
David Scheible: Good morning.
Mark Kauffman - Rafferty Capital Markets: Got a quick, well couple of quick questions. I was wondering if the Kellogg serial recall that they had any – do you think it had any impact in the quarter? Also what’s your outlook is on natural gas costs for the fourth quarter and if you have any insight into early next year? And just one more I imagine to more philosophical cost, if indeed we do see a pickup in your end-markets the plants are running full out well not quite full out, are you ready to meet that demand? 
David Scheible: Yeah, well first of all the Kellogg’s recall is probably a bigger question for Dave Mackay at Kelloggs, which he is – which he handle directly through his own conference calls. As you recall, I think what he would tell you is that the demand for serial was covered by other competitors I think that’s what I read for his saying. And so for Graphic it has really no net impacts for the most part on the serial both for us. So as we just make cartons. And the serial has been a pretty consistent performer throughout this economic environment and it was up again this quarter for Graphic as I said in my prepared notes. So I don’t foresee that as an issue. Relative to capacity, I mean, as we’ve talked before, we have lots of converting capacity to be able to meet rising in demand. That would be a high-class problem we had to deal with. So we’d be pleased to be able to deal with that. In the meantime, what we’re trying to do is make sure that we don’t have excess capacity to time when that demand is moving sideways in the process. So, I’m – we are all setup and ready to go when the volume kicks back. 
Don Blount: Yeah. And in terms of natural gas, we follow a practice of - we like the pricing hedge forward to natural gas internally with hedges about 42% of our need and our expected need in 2011. So, as we look forward at the hedge prices we’re about $0.60 to $0.75 better than the prior year at this point and we use about 12,000 MMBtu’s 12 million MMBtus per year. So as we look forward, we think natural gas based on these hedges and more positions we put in, this should be favorable over 2010.
Mark Kauffman - Rafferty Capital Markets: Thanks, very much guys. Good luck in the quarter.
Don Blount: Thank you.
David Scheible: Anybody else in the line?
Operator: There are no audio questions at this time. 
David Scheible: All right. Okay thanks everybody for attending the call and we will talk to you next quarter. 